Operator: Good morning, everyone. Thank you for standing by. Welcome to the Volaris Fourth Quarter and Full 2024 Financial Results Conference Call. All lines are in a listen-only mode. Following the company's presentation, we will open the call for your questions. Please note that we are recording this event. This event is also being broadcast live via a webcast and can be accessed through the Volaris website. At this point, I would like to turn the call over to Ricardo Martinez, Investor Relations Director. Please go ahead, Ricardo.
Ricardo Martinez: Good morning and thank you for joining the call. With us is our President and CEO, Enrique Beltranena; our Airline Executive Vice President, Holger Blankenstein; and our Chief Financial Officer, Jaime Pous. They will be discussing the company's results. Afterwards, we will move on to your questions. Please note that this call is for investors and analysts only. Before we begin, please remember that this call may include forward-looking statements within the meaning of applicable securities laws. Forward-looking statements are subject to several factors that could cause the company's results to differ materially from expectations. As described in the company's filings with the United States SEC and Mexico's CNBV. These statements speak only as of the date they are made and Volaris undertakes no obligation to update or modify any forward-looking statements. As in our earnings press release, our numbers are in US dollars compared to the fourth quarter of 2023 unless otherwise noted. And with that, I will turn the call over to Enrique.
Enrique Javier Beltranena Mejicano: Thank you very much, Ricardo. 2024 was a remarkable year for Volaris. Despite continuous adversity from GTF engine inspections and aircraft groundings, we generated some of our best top and bottom-line results. Thanks to the work of our management team and ambassadors, we posted a net profit each quarter and generated a full-year EBITDAR margin of 36%. There are several key updates that Holger, Jaime, and myself will share with you today about Volaris, the advancement of our strategy and our outlook. But first, I would like to reflect on where we stood in January of last year, following two mandatory early inspections affecting more than half of our fleet engines. At that point, we had already secured over 1.9 million future bookings, yet we faced a more than 30% reduction in our productive fleet. We signed a compensation agreement with Pratt & Whitney covering a significant portion of our fixed costs, but this agreement didn't cover any of the revenue loss. The sudden loss of engines presented us with a critical strategic challenge, how to reshape the company, increase profitability, protect our customers, and uphold our commitment to schedule integrity, all while preserving our reputation and maintaining our experienced mechanics and pilots. The mitigation plan that we developed at that time has proven highly effective. Throughout 2024, we narrowed the gap in our capacity reduction through straight operating leases and extensions, engine purchases, and operational utilization supported by the launch of our new base itinerary. We also made a clear and deliberate decision to operate our schedule exclusively with our pilots and fleet, ensuring the highest safety standards our top priority. Unlike others, we did not rely on foreign crews or non-Volaris-maintained aircraft, guaranteeing operational reliability while taking a disciplined approach to capacity. We remain focused on our long-term vision, driving sustainable shareholder value while strengthening our position as the preferred airline in our core markets. This commitment is at the heart of the Volaris promise, which centers on customer preference, flawless execution, and sustainability. When it comes to customer preference, we stay true to our value proposition, offering low fares, operating an attractive and reliable schedule, and providing relevant ancillary options to enhance the travel experience. Ancilliaries for example, now account for more than 50% of our total revenues. Volaris flew with 13% fewer year-over-year ASMs in 2024, carrying 29.5 million passengers, yet maintained a stable revenue stream, closing the year with $3.1 billion in total revenue, nearly the same level of 2023, reflecting an effective commercial strategy and reliable operation. Operationally, we have achieved 99.5% scheduled reliability and 83% on-time performance within 15 minutes for the year. We also experienced a decline in customer complaints and improvements in key commercial metrics, including unique buyers, unique travelers, repeat buyers, and an enhanced booking-per-buyer ratio. Overall, we achieved a Net Promoter Score of 37.4%, significantly outperforming low-cost carriers in the United States, which typically report low-single-digit or even negative scores. On safety performance, Volaris earned a Top 10 ranking in airline ratings 2025 list of the safest low-cost carriers worldwide and being the only Latin American carrier on that ranking. This recognition reflects our strong safety record, modern fleet operational excellence, and the ability to effectively manage emergencies. From a sustainability perspective, despite the grounding of a significant portion fuel-efficient NEO fleet, we limited our fuel consumption to a less than 3% increase in gallons per ASM, and maintained consistent CO2 emissions per RPK even as we operated heavier aircraft and more CEO fleet. These results underscore our commitment to environmental responsibility even under less than optimal fleet conditions. As a reflection of these results and other important initiatives, we have been recognized in the Dow Jones best-in-class for the third consecutive year. 2024 also featured a significant milestone with the arrival of aircraft from our purchase orders signed in 2017 and 2021 with the Indigo Partners joint procurement. These orders are set to deliver improved fuel efficiency, higher seat capacity, a fundamental tailwind for our unit cost control and competitive position. Additionally, the incorporation of these aircrafts into our fleet will help us structurally reduce our fleet ownership costs. To-date, we have taken delivery of just 15 out of our 144 aircraft order book for 2017 and 2021 orders. By 2030, we expect to be operating over 90% of our fleet with NEO technology and around 60% of which will be the A321 model, reflecting the strategic value of our delivery slots with Airbus and our efforts to reduce fleet ownership costs. In the short-term, the industry-wide supply chain remains challenged. As we navigate the ongoing complexities, our strategic focus is on harmonizing three critical areas to uphold our commitment to maximizing return on investment. The first one is balancing on scheduled engine removals, anticipating inspections, and GTF engine returns. We successfully completed our 2024 early inspections of Pratt & Whitney engines, managing an average fleet reduction of more than 30 aircraft. Looking ahead, we anticipate the ongoing revisions to affect a significant portion of our fleet not only in 2025, but also in 2026 and 2027. We are proactively managing maintenance schedules to ensure that the engine inspections and overhauls are carefully planned. This approach minimizes aircraft downtime and aligns with our operational requirements, thereby sustaining fleet availability and performance. The second one is about managing new aircraft arrivals from Airbus. In light of OEM supply chain challenges, we have renegotiated our delivery schedule agreement with Airbus. These renegotiations strategically staggers aircraft arrivals from now through 2031 allowing us to integrate new aircraft into our operations without overextending capacity. The third one is about optimizing aircraft returns and lease extensions. With the revised aircraft delivery schedule, we are conducting thorough market analysis to determine the optimal number of aircraft returns and lease extensions. Our objective is to maintain equilibrium between supply and demand, thereby preserving first stability and leadership in our core markets. This strategy will require elevated deliveries in 2026 as we balance capacity, but will perversely create a one-off cost pressure in this same year. For 2025, considering the three elements I just reviewed, we expect an estimated growth in available seat miles of around 13%. Even with this growth, Volaris' capacity will be below that of 2023. We believe this approach aligns with our priorities of emphasizing return on investment, while steadfastly defending our core markets. Finally, as we start to navigate this year, we are closely monitoring evolving border dynamics, while our passengers are legal travelers between Mexico and the US, heightened concerns and noise surrounding border policies and enforcement have made them more cautious in their travel decisions, particularly as the situation reaches its peak. In response to these dynamics, Volaris has already adjusted capacity for the first half of the year and is modulating first to sustain low factors. We have navigated similar challenges in the past and we believe that this is an adjustment period that will likely stabilize in the near-term. Our experience, agility and discipline will help us to grow in an evolving landscape. With that, I will turn the call over to Holger to discuss our operational and commercial performance.
Holger Blankenstein: Thank you, Enrique. Good morning, everyone. Volaris achieved robust commercial results for the full year of 2024, including a TRASM of $0.0924, up 10% year-over-year. This result was driven by record ancillaries per passenger of $55, which rose 15%, well outpacing our average base fare, which grew 5%. Non-fare revenues are now driving almost 52% of our top line, reflecting steady diversification of our revenue and tighter integration of our ancillary programs. On capacity, Volaris experienced a significant system-wide capacity decrease in 2024 with the full year down 13%. Domestic capacity was significantly impacted, declining by 22% in 2024. Although it is projected to increase in 2025, it will remain around 10% below 2023 levels. Mexico to the US is the strongest performing region for Volaris with a 16% growth in 2024, and rational growth projected into 2025. Other regions like Mexico to Central America and Central America to the US, and Intra-Central America were highly volatile through much of 2024, but we are seeing good yields following rationalized capacity and are monitoring the Central American market for additional opportunities. Importantly, we now continue to evolve our network. In 2024, we optimized slot availability at Mexico City International Airport and strategically shifted capacity from the domestic market to the US market following Mexico's Category 1 upgrade. At the end of 2024, about 40% of our capacity was in the international market. We recently launched new routes for sale covering core domestic cities as well as routes to California and Texas. We remain focused on flying in profitable markets and continue to leverage our entire network. For the quarter, our ASMs were down only 5% versus the fourth quarter of 2023, which included the first groundings of GTF-related aircraft. We delivered an outstanding schedule during the peak holiday season despite severe weather in Chicago and Tijuana, registering a 99.2% scheduled completion. One-time performance within 15 minutes was 82.2%, up nearly eight percentage points from last year. In the fourth quarter, we restarted growth of our presence in core Volaris markets of Guadalajara and Tijuana with additional frequencies in those profitable markets. We also improved connectivity between our core markets and the City of Monterey. During the quarter, we started to observe changes in booking conditions following the United States Presidential Elections, which we believe is driven by the incoming administration's migration and protectionist rhetoric. We adjusted fares accordingly, sustaining strong loads. Our total load factor for the fourth quarter was 87.3%, down just 0.8 percentage points compared to the prior year with our domestic and international load factors in line with last year's results. Given the deceleration in base fares, our overall TRASM of $0.093 came in weaker than expected. However, this result was bolstered significantly by ancillary sales, which were a record $57 per passenger for the quarter, demonstrating strong execution of our ULCC model. As you know, around 40% of our route network faces no air competition. And on those routes, we compete solely against buses. Bus switching remains integral to our core strategy and will continue to be a key focus. However, customers are no longer choosing Volaris based only on our low fares. They are actively engaging with our digital platforms, joining our affinity programs and strengthening their loyalty with each repeated purchase. Capturing and capitalizing on this recurring demand is essential to differentiating our business. In 2025, Volaris will introduce several significant innovations to enhance our ancillary strategy. As we had previously shared, we are planning to bundle our four core ancillary offerings into a single affinity portfolio to drive greater ancillary penetration and value for our customers. These affinity programs have demonstrated strong momentum. Annual pass grew 68% year-over-year in 2024. V.pass solidified its position as an innovative subscription model. V.club membership expanded to 1.3 million active members and now represents one of the most important loyalty programs in the region. Our co-branded credit card now has almost 1 million active card holders. All-in-all, we now have a significant amount of customers in our affinity programs, an important building block to generating more recurring revenue streams and increased purchasing frequency of our passengers. We believe our affinity programs will solidify Volaris as a leader for value-seeking passengers, including frequent flyers, corporates, and small and medium businesses, in addition to our VFR and leisure base. In Tandem, we are upgrading Ya Vas, our dedicated vacation business to have similarly broader appeal to higher ticket passengers. To further enhance customer experience, Volaris is preparing to launch a new mobile app in the coming weeks, reinforcing our commitment to digital innovation and customer engagement. The new app will significantly improve the customer experience, streamlining personalized bookings, boarding, access to affinity programs and self-service. Built with the latest advancement in software development, it provides greater flexibility to adapt to future updates. Overall, Volaris continues to enhance its distribution strategy, increasing the share of direct digital channel sales across our website, mobile app, call centers and airport sales. In 2024, we relaunched our codeshare agreement with Frontier and launched a new codeshare with Iberia Airlines. The codeshare with Frontier now accounts for approximately two percentage points of our cross-border load factors. Volaris will continue exploring further opportunities on alliances without sacrificing the core of our ULCC model. Turning now to our commercial outlook for 2025. As Enrique noted, we have adjusted base fares in the first quarter in response to softness in US VFR traffic, which we believe is influenced by geopolitical uncertainty. We expect that this is a temporary market condition and we'll continue monitoring demand patterns closely, just as we did at the start of the first Trump Administration. The first quarter of this year will face a challenging year-over-year comparison due to exceptional results in the first quarter of 2024, when substantial capacity came out of the Mexican domestic market due to Pratt & Whitney engine inspections and the Boeing MAX-9 groundings. We expect to return to a usual first-quarter seasonality followed by a stronger second half. Additionally, the shift of Easter into the second quarter will further impact our results. Now, I will turn the call over to Jaime to walk through our fourth quarter and full year financial results.
Jaime Esteban Pous Fernandez: Thank you, Holger. Our full year 2024 financial results demonstrated the effective execution of our GTF engine inspections mitigation plan and the resiliency of our business. We focus on controlling costs in 2024, while increasing profitability. For the year, we achieved 13% EBIT margin and 36% EBITDAR margin, delivered a $126 million net profit, reduced our net debt to EBITDAR ratio to 2.6 times, generated over $300 million in operating cash flow and grew our year-ending liquidity position to $954 million. Despite temporary cost pressures associated with inspections, we maintained one of the lowest CASM ex-fuel globally. Notably, at the beginning of the year, one of our capacity reduction scenarios projected an 18% decrease in ASM year-over-year. However, the actual reduction was 13%, reflecting a five percentage point improvement due to our fleet mitigation plan. I will talk more about the steps we are taking to drive similar outcomes in 2025. But first, let me walk through the results for the fourth quarter and full year 2024. Compared to the same period last year, our fourth quarter 2024 results were as follows. Total operating revenues were $835 million, a 7% decline, given fewer ASMs and softer unit revenues, attributable to the factors already described. Topline results were also impacted by the 20% depreciation of the Mexican peso against the US dollar. We continue to manage our FX exposure by targeting collection of approximately 50% in US dollars. Moving on to cost, CASM increased by 3% to $0.0804, while CASM ex-fuel rose by 17% to $0.0568. Meanwhile, our average economic fuel cost dropped 20% to $2.51 per gallon. Additionally, we saw cost benefits from the weaker peso. Unit costs remain under temporary pressure due to aircraft groundings, higher number of maintenance events and redelivery expenses. We expect redelivery accruals and related maintenance will impact 2025 with a one-time cost of approximately $100 million. This will result in an estimated $0.003 impact on CASM ex-fuel during the year. I want to highlight that strong labor relations continue to differentiate Volaris from many global airlines. We executed a revised three-year contract with our labor union that contemplates annual salary and benefit increases that keep pace with national inflation in Mexican pesos. Returning to the P&L. For the fourth quarter, in the other operating income line, we booked sale and leaseback gains of $13.6 million related to the delivery of four aircrafts. As a reminder, this line also includes aircraft grounding compensation from Pratt & Whitney. EBIT for the quarter totaled $117 million, down 29%, given software unit revenue and a tough comparison to our record quarterly EBIT of $164 million in the fourth quarter of 2023. EBIT margin was 14%, down 4.2 percentage points. Meanwhile, EBITDAR came in at $331 million. This represented an 18% increase, EBITDAR margin was 39.6% or eight percentage points higher and in line with guidance. Finally, net income was $46 million profit, translating to earnings per ADS of $0.40. Moving briefly to our P&L for the full year 2024 compared to 2023, total operating income revenues were $3.1 billion, only a 4% decrease despite Volaris flying 13% fewer ASMs during the year. CASM was $0.0803, a 3% increase with average economic fuel costs falling by 12% to $2.75 per gallon, CASM ex-fuel was $0.0540, 12% higher. EBIT was $413 million, up from $223 million with an EBIT margin of 13.2% or six percentage points higher. EBITDAR totaled $1.1 billion, a 39% increase with a full year EBITDAR margin of 36.3%, an increase of 11 percentage points and also in line with guidance. Net income was $126 million compared to an $8 million profit. Earnings translated into $1.10 per ADS. Turning now to cash flow and balance sheet data. For the fourth quarter, cash flow provided by operating activities was $308 million, our highest ever quarterly generation. Cash outflows using investing and financing activities were $85 million and $98 million respectively. Meanwhile, our CapEx, excluding finance, fleet predelivery payments, totaled $160 million for the quarter and $350 million for the full year. CapEx was driven by spare engine purchases and maintenance. With our spare engine supply in good shape heading into 2025, we expect CapEx excluding finance PDPs to roll down by around $100 million for this year as we don't expect to buy more engines. Volaris ended 2024 with a total liquidity position of $954 million compared to $789 million at 2023 end. This figure represented 30% of 2024 total operating revenues. As of December 31st, our net debt to EBITDAR ratio stood at 2.6 times compared to 3.3 times at the end of 2023. From our balance sheet perspective, Volaris maintains a well-structured debt profile that supports both financial stability and long-term growth. Our total debt stands at $3.9 billion, primarily composed of lease liabilities and credit lines strategically allocated for engine and fleet requirements. Within this structure, financial debt totals $800 million, including $320 million in engine financing and $361 million in PDP financial needs, reinforcing our disciplined approach to fleet modernization and operational resilience. Volaris secured around $300 million in new PDP credit lines, guaranteeing contractual airport deliveries until 2028. This reflects lenders' confidence in our long-term business despite the near-term challenges we have faced. As of December 31st, our total fleet consists of 142 aircraft up from 129 a year ago with an average age of 6.4 years. We incorporated six aircraft into our fleet during the quarter. Now, I would like to provide an update on Pratt & Whitney. Due to engine inspections, we had an average of 34 aircraft on ground during the fourth quarter and 32 aircrafts on ground doing full year 2024. In 2025, our capacity growth will be driven by new deliveries and by the increase of our productive fleet as engines return from the shops. Importantly, as these engines are reincorporated, this road will not add new debt to our balance sheet. Looking ahead, we have renegotiated our fleet delivery scheduled with Airbus, more evenly distributing and postponing airport deliveries to conclude in 2031. Factoring in aircraft deliveries, returns, extensions, and the return of inspected engines, we project that this new schedule will support our rational ASM growth from 2025 to 2031. All of the engine inspections and repairs the Pratt & Whitney completed during 2023 and 2024 comply with airworthiness directives regarding [indiscernible]. Nevertheless, some of these engines will require a second shop visit in the next 18 months to 24 months to install full life parts. Finally, turning to guidance, on our outlook for the full year and first quarter of 2025, we want to comment that since mid-January, we have seen weakness in BFR demand for travel between the US and Mexico. We assume this will be a short-term headwind as Mexico and the US negotiate a resolution to these issues around the border. However, we are currently hearing heightened net concerns from our passenger as they try to understand the new immigration and travel controls that could be implemented by the new administration in the US. As for the full year 2025, we currently expect an EBITDAR margin of 34% to 36%, ASM growth of around 13%, which is at the lower end of our previous guidance range. This is slight reduction. It's also a result of recent discussions we have had with Airbus on potential delivery delays and with Pratt & Whitney on the return to service of engines. We also think this is light lower ASM growth is appropriate given the weakness in cross-border BFR demand I mentioned. We will continue to work with both Airbus and Pratt in these issues and we'll closely monitor demand patterns and may have to make further adjustments to the network as the year progresses. It is also important to say that we remain positive about the course of the bilateral relationship, which means there could be upside to our full year guidance. Finally, we expect CapEx net of finance fleet by delivery payments of around $250 million. CapEx will primarily encompass maintenance and redelivery expenses. Our full year 2025 outlook assumes an average foreign exchange rate of MXN21 to MXN21.2 per US dollar. We also assume an average US Gulf Coast jet fuel price of $2.15 to $2.25 per gallon. Moving on to our first quarter 2025 guidance, note that it reflects several factors, including the shift of Easter back into the second quarter, the continued weakened peso, and a return to historical first quarter seasonal demand. For the first quarter, we are expecting ASM growth of around 7%, CASM between $0.079 and $0.08, driven by softer US to Mexico demand, given the border issue resulting from the new US administration noted above, and a CASM ex-fuel to be in the range of $0.055 to $0.056. In all, we expect a first quarter EBITDAR margin of around 28% to 29%. First quarter 2025 outlook assumes an average foreign exchange rate of MXN20.6 to MXN20.8 per US dollar and an average US Gulf Coast jet fuel price of $2.25 to $2.35 per gallon. In closing, two years ago, we committed to doubling revenues, EBITDAR and free cash flow by 2025 compared to 2019. Despite these unexpected headwinds associated with engine inspections and Airbus delays, I want to reaffirm this commitment, which demonstrates our strong focus on both profitability and cash generation. Now, I will turn the call back over to Enrique for closing remarks.
Enrique Javier Beltranena Mejicano: Thank you, Jaime. Over the past 18 months, key United Airlines leaders have speculated about the survival of the low-cost carrier business model. I want to emphasize, Volaris' position as an ultra-low-cost carrier in Mexico is unique. As the largest airline in Mexico by passenger volume, we enjoy a robust domestic market share and ultra-low-cost carriers represent over 70% of the passenger domestic market and we both hold a cost leadership over legacy carriers. Moreover, Mexico's distinct ability to convert bus passengers and recurring travelers has driven growth in the country's emerging air travel market in the last 15 years. We continue to see plenty of runway for this secular trend. Having said that, we believe there are some truths in the US leaders' philosophies about what makes a superior model airline. We agree that strategic evolution and operational changes to keep up with industry trends do not happen overnight. You have heard us for several years preach rational and prudent capacity growth. We agree that the health and profitability of the industry are dependent on rational capacity deployment. We have emphasized this principle and we enhance our focus on profitable growth for our business. We agree that airlines should operate where they have a competitive advantage. Volaris has built a strong network in markets where we are the leading airline. Lastly, we agree that cost convergence threatens US carriers that were built to compete primarily with price. But Volaris is highly differentiated in that. We can compete both with low fares and high value. We offer low fares. We operate an attractive and reliable schedule, but we provide relevant ancillary options that enhance the travel experience. Thank you very much for listening. Operator, please open the line for questions.
Operator: Thank you. The floor is now open for questions [Operator Instructions] And our first question is going to come from the line of Michael Linenberg with Deutsche Bank. Your line is open. Please go ahead.
Michael Linenberg: Hey, good morning, everyone. I have a few here. I want to get back to your guide for March quarter RASM down 15% year-over-year. I know you called out some softness US to Mexico VFR traffic. I'm curious, are you seeing a bigger impact from US originating or Mexican originating? And as part of that question, how much of it also includes FX, which I know is down 17% year-over-year? Is there a stage-length component? And is there an Easter effect? So it seems like there's maybe multiple elements that are actually impacting that RASM guide?
Holger Blankenstein: Hello, Michael, this is Holger. So let me --
Michael Linenberg: Hey, Holger.
Holger Blankenstein: What we're seeing in the transporter market, basically since the US elections in November, we've seen a reduction of traffic and willingness to travel in both sides, both the US and the Mexican side in our VFR segment. However, it's very important to note that the high seasons, Christmas, the first part of January, the Easter high season were quite robust. The bookings were quite robust and the Easter outlook looks pretty healthy despite all the noise in the transporter relationship. In January, kind of mid-January towards the inauguration of the Trump Administration and in the early weeks of February, we saw that trend continue. However, I would say, towards the end of February, we've seen a marked improvement of willingness to travel in the transporter market, that's where we are right now. And we continue to see obviously a base fare pressure in the domestic market by FX and maybe a slight reduction of leisure traffic to the US given the 20% peso devaluation because it just makes travel to the US and vacationing in the US just so much more expensive.
Michael Linenberg: Okay. So that's helpful. And then as I think about the, this is to Jaime, the $13.6 million that gains that you took on sale leasebacks, when we think about the cash inflow as a result of those transactions, is that similar in magnitude or is it meaningfully different? Just trying to reconcile both the P&L versus the cash flow impact? And thanks for taking my questions.
Jaime Esteban Pous Fernandez: Hello, Michael. This is Jaime.
Michael Linenberg: Hi.
Jaime Esteban Pous Fernandez: If you look, it corresponds to six aircraft, so it's the standard sale and leasebacks per aircraft, which is going to be around $3 million. And remember, when you compare versus 2023, the main difference will be in the variable lease expenses. Since last year, we took a benefit of around $33.5 million related to the extensions that we took to protect the capacity in '24 and '25.
Michael Linenberg: Okay. Thank you very much.
Operator: Thank you. One moment as we move on to our next question. Our next question comes from the line of Duane Pfennigwerth with Evercore ISI. Your line is open. Please go ahead.
Duane Pfennigwerth: Hey, thanks. Good morning. I wonder if you could put a finer point on the Easter shift impact. I know that's a pretty meaningful variable for you. So could you quantify that in terms of RASM percentage points or margin percentage points in the first quarter? And then relative, I know it's early, but relative to the year-over-year RASM decline that you've guided to, in the first quarter, do you have any early thoughts on the shape of that into the June quarter?
Holger Blankenstein: Hello, Duane. This is Holger again. So I can tell you that the Easter season, the bookings still look quite solid and obviously that accounts for the Easter currently is in April. So obviously the TRASM decline we're seeing in the first quarter is mostly driven by that and the FX change that we observed versus last year. Overall, we don't break out guidance of TRASM for the full year but, for the June quarter, but what I can tell you is that we're currently expecting a single-digit, mid-single-digit decline of TRASM for the full year in US dollar denominated terms.
Duane Pfennigwerth: Okay. That's helpful. And then maybe can you give us some sense for, you've guided specifically for CASM ex in the first quarter, but I don't believe you have for the year. So maybe you could expand on your thoughts of the shape of that CASM beyond the first quarter.
Jaime Esteban Pous Fernandez: Hi, Duane. This is Jaime. I think it should be at the same level of this, of 2024, notwithstanding the first quarter number.
Duane Pfennigwerth: Got it. Okay. And then just lastly on the Pratt impacted aircraft, I know you've been working to offset delays with engine purchases and lease extensions, but can you speak to the throughput you're seeing on the impacted engines? Again isolating for the AOGs that you have, how are you seeing throughput changing? And then high, any high-level thoughts on the compensation that might be running through the P&L year-over-year into 2025? Thank you for taking the questions.
Enrique Javier Beltranena Mejicano: So the first answer is the whole throughput of engines depends on several things. So let me break it down. The first one is unexpected removals, which during the last quarter of last year were higher. I mean, we were expecting somewhere around two to three unexpected removals, we went up to six, okay. The second thing, it's about inducting engines into the real maintenance line and because it's not just about sending the engines to the shops, but it is about the real induction about that. Real induction have been really well during the whole year, but then in December, we saw a reduction of those inductions. We did catch-up in January and then February has been kind of slow. And then the third element is about what happens in the line of maintenance and there are three, four steps in that line of maintenance. In the second part of it, it depends heavily on maintenance spare parts and the materials they need for it. And we have seen in January and February a slow move on that and the engines being kind of retarded because of that. Net-net, during 2024, it was okay-ish. The last three months, December, January and February, we are seeing a much slower move than what we saw during the full year last year. Speaking about compensation, I will pass it over to Jaime.
Jaime Esteban Pous Fernandez: Duane, you should think about compensation based on aircraft on ground. Last year, we have 32 aircraft on ground average. This year with information we have today, we expect to have 30. It's going to be substantially similar in order for you to model.
Duane Pfennigwerth: Thank you for the detailed thoughts.
Jaime Esteban Pous Fernandez: You're welcome, Duane.
Operator: Thank you. One moment as we move on to our next question. Our next question is going to be from the line of Tom Fitzgerald with TD Cowen. Your line is open. Please go ahead.
Thomas Fitzgerald: Hey, thanks so much for the time. Question on aircraft ownership cost. Is that 250 number for DAR in the fourth quarter. Is that a good run rate to use for 2025?
Enrique Javier Beltranena Mejicano: It will be higher, Tom. And we can follow-up for you to work on the model with the IR team.
Thomas Fitzgerald: Okay. That's helpful. And then I guess, would you, I know it should be a tailwind for you guys longer-term, right, as you start to take on more aircraft just from the Indigo order book. Would you just remind -- help us remind how we should think about that over the longer term in '26 and '27? Thanks again.
Enrique Javier Beltranena Mejicano: Correct and remember that right now and since last year, we're getting hit in the right-of-use because of the roundings of the FX. Now going forward, that will remain this year and next year on a similar level. But after that, we are not incorporating fleet, we are acquiring new fleet, but by putting planes around route into productive. So that should really benefit the financing cost and without need to deleverage the company.
Operator: Thank you. And one moment as we move on to our next question. Our next question comes from the line of Jay Singh with Citi. Your line is open. Please go ahead. Mr. Singh, your phone may be on mute.
Jay Singh: Hello. Do you hear me now?
Operator: Yes, sir.
Jay Singh: Yes, okay. So cool. So when we think of Volaris' high free cash flow yield, do you have any view on the long-term capital deployment once we get past the GTF engine around?
Jaime Esteban Pous Fernandez: Yes. We are reducing CapEx this year. Long-term, I think you are having notices, we have legal limitations to do any buyback or dividend currently, but that number has substantially been reduced going down from $148 million at the end of 2023 to only minus $22 million. So in the future, it will be a strategic tool that we may be able to use.
Jay Singh: Okay. Awesome. And another follow-up question I have is, have you noticed any hiccups in remittances from the US?
Jaime Esteban Pous Fernandez: No, we haven't seen any reductions in remittances right now. It's probably too early to say how the full year is going to pan out. The only thing we are noticing is certain hesitancy to travel in the cross-border market in the low seasons, not in the high seasons.
Jay Singh: Thank you so much.
Operator: Thank you. And one moment as we move on to our next question. And our next question comes from the line of Jens Spiess with Morgan Stanley. Your line is open. Please go ahead.
Jens Spiess: Yes, hello. I just wanted to clarify one prior answer you gave on the CASM. Jaime, you mentioned that you expect it to be similar as last year, but your guidance for the first quarter is lower than what you had last year. So that would mean that from the second quarter to the fourth quarter, your CASM would be higher actually than what you had on average in 2024. Is that correct? I'm understanding that correctly?
Jaime Esteban Pous Fernandez: If you look at full year, CASM was -- in 2022 CASM ex was $0.054, that number should be similar to the year because we are growing.
Jens Spiess: Okay. Yes, your guidance is $0.055 to $0.056, right?
Jaime Esteban Pous Fernandez: That's for the first Q, not for the full year.
Jens Spiess: Exactly. And you had, sorry, maybe I was looking at the number. I thought you had $0.057 last, yes, you're right. Correct. I understand now correctly. Yes. it's clear now. Thank you. I understand that now. All right. So for just a follow-up on the aircraft on ground. I know you like to guide through ASMs and I appreciate that color. But just in terms of number of aircraft, I was curious of the progression. How are you seeing, I don't know, how many aircraft do you expect to have on ground by mid-year, by the end of this year? And maybe also if you could give a bit more numbers there for 2026, 2027 would be very much appreciated. Thank you.
Enrique Javier Beltranena Mejicano: I think in general it's hard too early to tell what's going to happen in '26, '27 or beyond. For this year, with information we have with Pratt and Whitney it's around 30 aircraft average. You are going to see a higher number in this quarter, probably around 32. And we will update this number on a quarterly basis because things are really changing from time-to-time. And we expect that number of around 30 should remain also in 2026?
Jens Spiess: 2026. Okay. All right. Thank you.
Operator: Thank you. One moment as we move on to our next question. And our next question comes from the line of Rafael Simonetti with UBS. Your line is open. Please go ahead.
Rafael Simonetti: Thank you for taking my questions. If you could please give more color on costs, mainly on salaries and leases? Salaries showed a big growth year-over-year in fourth quarter and looking at the third quarter, that was a decrease year-over-year and also variable leases increased on a quarter-over-quarter basis. I would like to note that was caused by the addition of the aircraft. Thank you.
Enrique Javier Beltranena Mejicano: I think in terms of the salaries and benefits, they are all flattish the number. It's being held due to the FX because all of the salaries are in pesos and that's the main driver of the number. And also we have an impact on the revenue profit sharing that by-law we need to provide that we will get on the 4Q of last year.
Rafael Simonetti: Okay. Thank you.
Operator: Thank you. This concludes today's question-and-answer session. And I would like to invite Mr. Beltranena to proceed with his closing remarks. Please go ahead, sir.
Enrique Javier Beltranena Mejicano: Thank you very much, operator. 2024 was a difficult, but very rewarding year. You can expect us to maintain our discipline throughout 2025. We will keep our heads down, do the work, navigate the near-term turbulence in certain of our markets while staying very focused on the long-term, continuing to build a world-class ultra-low-cost carrier airline. I would like to extend a sincere thank you to our family of ambassadors, to the Board of Directors, to the investors, the bankers, the lessors, and suppliers for their commitment to Volaris in 2024. I look forward to working with you all in 2025 and I am looking forward to keep on doing the best we can with this tremendous team we have and we'll speak to you again for you, for our first call in late April. Thank you very much. Operator, thanks for everything.
Operator: This concludes the Volaris conference call for today. Thank you very much for your participation and have a great day.